Operator: Good day, everyone, and welcome to Blink Charging Company First Quarter 2021 Earnings Call. At this time, all participants are in a listen-only mode. Later, you will have the opportunity to ask questions during the question-and-answer session. [Operator Instructions]. I will be standing by should you need any assistance. It is now my pleasure to turn today's program over to John Nesbett, IMS Investor Relations. Please go ahead.
John Nesbett: Good afternoon, everyone, and welcome to Blink Charging's first quarter 2021 investor call. On the call today, we have Michael Farkas, Founder and Chief Executive Officer; Brendan Jones, President and Michael Rama, Chief Financial Officer. I would like to take a moment to read the Safe Harbor statement. This conference call contains forward-looking statements as defined within Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended. These forward-looking statements and terms such as anticipate, expect, intend, may, will, should or other comparable terms involve risks and uncertainties because they relate to events and depend on circumstances that will occur in the future. These statements include statements regarding the intent, belief or current expectations of Blink and members of its management as well as the assumptions on which such statements are based. Prospective investors are cautioned that any such forward-looking statements are not guarantees of future performance and involve risks and uncertainties, including those described in Blink's periodic reports filed with the SEC, and that actual results may differ materially from those contemplated by such forward-looking statements. Except as required by federal securities law, Blink undertakes no obligation to update or revise forward-looking statements to reflect changed conditions. I would now turn the call over to Michael Farkas, CEO and Brendon Jones, President of Blink Charging. Go ahead, Michael.
Michael Farkas: Good afternoon, everyone. Thank you for joining us. We had a solid start to 2021. First quarter revenue grew 72% compared to the first quarter of 2020. And we continued to aggressively expand the geographic footprint of our chargers. During the quarter, we made tremendous progress with 1,597 commercial and residential charters contracted, sold or deployed, and the number of Blink-owned charging stations contracted or deployed grew more than 370% compared to the same period in 2020. Our target locations are high density, high volume venues like hotels, multifamily residentials, and healthcare networks. We're also working with a broad range of countries, states and municipalities to strengthen EV infrastructure as more individual drivers as well as fleets transition to greener transportation. EVs is gaining traction worldwide. And in the U.S., the transition is being aided by favorable legislation initiatives in the Biden administration. In fact, as many of you know, in early April, the White House published this infrastructure plan with among other initiatives, proposes a $174 billion investment for the electrification of cars and trucks, and also proposes to establish grants and incentive programs to build a national network of 500,000 EV charging stations. With these efforts to get more EVs on the road, it's logical that demand will increase for fast, accessible and reliable charging stations to fuel these vehicles. While EVs are currently a relatively small portion of the vehicle market, they represent a rapidly growing segment of the transportation sector. As a leader in the EV industry, we are well positioned to play a key role in the infrastructure build out necessary to support the anticipated growth in EV transportation, and we are already actively pursuing opportunities at the local, state and federal levels of government. It's important to remember that we are a pioneer in the EV charging space, with a great deal of experience in deploying charging stations in locations that are accessible and convenient, while also providing the technology that ensures a fast charge. We are focused on our operator owner model, where we enter into long time, long-term exclusive contracts with automatic extensions that employ a revenue sharing model in which we receive payment each and every time a vehicle is charged at one of our Blink-owned locations. With this structure, we have the potential to generate a valuable recurring revenue stream for many years to come as EV utilization increases. Our property owner partners also benefit from this model, because we take care of the installation and maintenance of Blink owned units, which is often an attractive option for property management companies who have a lot of other responsibilities on their plate. Additionally, in our own and operate approach, we have exclusive long term contracts, which allow us to deploy charging stations today but most importantly, to add charges to these contracted locations as necessary to meet demand. And that is through long-term again, very long-term and exclusive contracts. This is a very exciting time to be a leader in the EV charging industry. Even before the recent announcements from the White House, we believed and continue to believe that the transition to EV is represented opportunity with tremendous potential for a company's growth. As we've noted in previous calls, but think it's important to point out again and again, BloombergNEF's Electric Vehicle Outlook, which looks at the global EV market noted that passenger EV sales increased from 450,000 in 2015, to 2.1 million in 2019 and are expected to reach over 15 million by 2040. BloombergNEF also expects that more than 50% in new car sales globally will be EVs by 2040 and projects that the need for charging stations will top 290 million by 2040. Again, 290 million charging stations needed globally. We're not even in the beginning of the first inning, as to the and other deployments that are necessary. And by the way that has a value of over $500 billion worldwide. The shift to EVs is happening and Blink is poised for significant growth as we play a key role providing the infrastructure to support this transition. To support our growth in January 2021, we completed a successful equity raise of $232 million, significantly strengthening our balance sheet. With a stronger capital structure, we are better positioned to expand Blink owned charging infrastructure, improve internal systems, operations and technology and to prepare for anticipated exponential growth, securing new partnerships, acquiring new locations and continuing to seek strategic acquisition opportunities. As a key contributor to the expanding EV landscape, we are continuously looking for opportunities to strategically increase our global assets, while also making EV charging more accessible. As such, we are very excited about this week's announced acquisition of European EV charging operator Blue Corner and its portfolio of 7071 charging ports, giving Blink operational control, complete operational control of Blink owner and it's easy charging assets. The acquisition is part of our broader strategic international expansion plans and provides a significant infrastructure input footprint in Europe. Blue Corner charges are located across Belgium, Luxembourg, the Netherlands and France. EV is enjoying a much higher market share in Europe; it's heightening the potential for the increased utilization for our EV charging stations. In addition, the historically higher price of fuel in Europe makes driving even easy in much stronger value proposition for drivers there. To facilitate our further expansion in Europe, we've also created Blink Holdings, a new company headquarters in Amsterdam, and we're excited to immediately establish a significant presence in Europe, supporting the international expansion that is fundamental to our growth. And we believe this acquisition will accelerate the success we are already achieving in Europe. Finally, we are excited by the opportunities we are seeing in the marketplace, and during the first quarter we strengthen our capabilities for capitalizing on these opportunities by strategically adding new positions and people to improve our operational strength across the organization. Perhaps most notably, we added our new CTO Harjinder Bhade. He is a founder of ChargePoint, one of our biggest competitors and he's a seasoned renewable EV charging executive will focus on the aggressive development of the company's product line up, the technology infrastructure, and just bringing up everything within our portfolio up to the next level. Additionally, we made 17 new hires across the organization, including the technology, sales, IT and customer service departments. We are also expanding our facilities in advance of anticipated growth. And at the start of the quarter, we announced the purchase of a 10,000 square foot office in Miami to house our corporate headquarters and to support our current and future growth. Also, depending on the first quarter, we opened a new Phoenix location which has already begun making meaningful contributions to our operations. Blink is off to a strong start and solidly positioned to drive growth. And as we move through the balance of 2021 we have amazing and exciting things ahead of us. And this is a very exciting and transformative time for Blink. And we're extremely optimistic about our future and our role in the growth of worldwide EV infrastructure, EV charging infrastructure. Now I'll turn the call over to Brendan Jones, President of Blink to discuss some of our recent developments. Go ahead, Brendan.
Brendan Jones: Thanks, Michael. Well, good afternoon, everyone. It is a pleasure to speak with you today. We have been very busy here at Blink as evidenced by many of the recent deployments and developments within the company. I would like to review some of the highlights, to begin with our latest news. We're very pleased to have acquired Blue Corner and his portfolio of more than 7000 charging points. This acquisition provides us a solid foothold to access the European market, a underpenetrated market that has the potential to be a growth area for Blink as the transition to EVs continues to progress. To provide some additional context. The European EV market is growing faster than the United States. Sales of plug-in electric vehicles in Europe rose 137% to 1.4 million vehicles last year, whereas the U.S. rose 4% to 328,000. These numbers are according to EV volumes.com. The surge in EV adoption will increase demand for EV charging infrastructure. In addition, European regulations are further accelerating widespread EV adoption with regulatory reform that supports zero emission vehicles. Now we haven’t lost focus domestically, we are effectively leveraging EV infrastructure grants, incentives and programs across the country with some of the recent deployments including the deployment of 42 charging ports at 10 Four Brothers Pizza in locations across New York, which was made possible through the charge ready program from the New York State Energy Research and the Development Authority otherwise known as NYSERDA and Make Ready incentives by New York utilities. Additionally, we upgraded 19th first generation Blink EV charging stations in Plano, Texas to the Company's IQ 200 Fast Level 2 charging stations in support of the city's commitment to electrify their transportation infrastructure. The deployment of Blink IQ 200 charging stations at Native American Youth and Family Centers in Portland, Oregon, which was made possible with funding from the Portland General Electric drive charged funds through the Oregon Clean Fuels program and an electric mobility grant from Pacific Power Oregon Electric. Also there is an ascent through Oregon Clean Fuels program. We also recently added some valuable partnerships which include but not limited to an agreement with General Motors to offer GM EV customers more seamless access to publicly available Blink charging station sites across the U.S. as part of GM's Ultium Charge 360 program. We also signed a reseller agreement with EV transportation services otherwise known as EVTS to distribute Blink IQ 200-M Portable EV charger along with its Firefly ESB Essential Service Vehicle. We used to engage in a sponsorship also with the University of Cincinnati's Bearcat electric vehicle racing team. This is the University's first All Electric Formula Race Team and we're really excited about that. We continue to make progress internationally through agreements such as the first installation of a Blink IQ 100 charger by the municipality of Pedro Aguirre Cerda in Santiago, Chile to support the Municipalities, new fleet of Nissan Leaf vehicles. And in addition to that, we signed an agreement deploy Blink EV charging stations at Fattal Hotel Group locations in Israel. For some context, Fattal is one of Israel leading hotel companies with luxury hotels in 14 major tourist locations. As Michael mentioned, we have made a lot of structural improvements to strengthen the company and capitalize on the interest and opportunities we're seeing in the marketplace. These improvements include expanding and improving our sales team, our service operations team, our product development team. We are also we are now very well positioned to support the anticipated growth ahead of us. I'd like to now turn this over to our CFO, Michael Rama to run through some of the specifics results for the quarter.
Michael Rama: Thank you, Brendan. And good afternoon, everyone. We are off to a solid start in 2021, with total revenue growth of 72% to $2.2 million in the first quarter of 2021, as compared to the first quarter of 2020. This growth was driven by increased product sales, as well as increased network fees. Product revenues grew by over 113% in the first quarter of 2021, as compared to the same period of 2020, related to the robust demand for our commercial and residential chargers. Network fees grew 100% as compared to the first quarter of 2020, related to the increase in charges within our network. The growth in these two areas of our business was offset slightly by a decrease in revenues from charging services for the quarter. Despite the continued reopening of the economy travel in general is still a big constraint as the economic as a certain pandemic related restrictions remain in place, which impacts EV travel. First quarter 2021 net loss was $7.4 million, or $0.18 per share, compared to net loss of $3 million, or $0.11 per share in the first quarter of 2020. For the first quarter of 2021, net loss included increases in compensation and operating expenses related to the on-boarding of new employees primarily in our sales, IP and customer service areas. Specifically, operating expenses for the first quarter of 2021 increase to $7.5 million from $3.3 million primarily driven by significant scaling of our infrastructure and operations as we continue to scale the business to prepare for the anticipated demand for our products and services as EV use grows. Also contributing to the increase in operating expense expenses for the first quarter of 2021 compared to the first quarter of 2020 were operating expenses associated with the acquisitions of BlueLA and U-Go stations during the second half of 2020. As of March 31 2021, we sold or deployed 17,302 chargers, of which 7,191 were on the Blink network, which consisted of 4,471 level two publicly accessible commercial chargers 1,441 level two private commercial chargers 121 DC fast charging publicly accessible chargers, 11 DC fast charging private chargers and 1147 residential level to Blink EV chargers. The remaining our non-network on other networks or international sales or, or deployments which consists of 225 level two commercial charters, six DC fast charging chargers, 9,218 residential level two Blink chargers that 607 sold internationally and 55 deployed internationally. And now a few comments about our liquidity in cash. At March 31 2021, cash and marketable securities were $232.2 million, compared to $22.3 million at December 31 2020. During the first quarter of 2021, we completed a successful equity raise of $232 million. Now I'll turn the call back over to Michael Farkas for some additional remarks, and after that, we'll open it up for Q&A. Michael?
Michael Farkas: 2021 has really been a busy year. We are energized and prepared to capitalize on the opportunities we're seeing to grow our role as a key contributor to the establishment expansion of worldwide EV infrastructure. This is an exciting time for our company in our industry, and we look forward to driving continued growth and progress. With that, we will now open the call for questions.
Operator: [Operator Instructions] We will take our question from Gabe Daoud with Cowen. Please go ahead, your line is open.
Gabe Daoud: Thanks. Good afternoon guys. Could we maybe just start with the Blue Corner acquisition, how it’s expanding the footprint in Europe, pretty attractive price? Could you maybe give us a little bit of background on maybe the process and just maybe any color around what the business does from a revenue standpoint? And, any perspective, I guess on why Blue Corner would be interested in selling instead of selling at this point in the cycle?
Michael Farkas: Okay, this is Michael Farkas. I'll take the beginning of that. And then I'll let Brendan follow up on. Blue Corner, and the reason why does it become easier is extremely attractive for us is because of their base in Europe. Not only that they own network, they have their own hardware. Although outsource production, they have an amazing base of customers throughout Europe, and they're constantly growing. For us, it was an amazing opportunity to be able to integrate Blink hardware, Blink network, ultimately, and use it to springboard our major portion advance into Europe. Brendan, would you like to follow up with that?
Brendan Jones: Yes, I think we went through a fairly exhaustive search for opportunities that were based. in Europe, and we look primarily on the continent as well as Ireland and England as well. Blue Corner popped up as a company that had a great deal of similarities to Blink. We have a similar model, we both own and operate chargers, they sell charters, they vote they own or operate their own network. And they maintain their own charters. And they have manufacturing agreements, customer manufacturing as well. And they have a good footprint in four countries with the ability to expand to other countries throughout Europe. So when we examine this, then the cost of acquisition, we saw this as a unique opportunity to really energize and rapidly expand our presence in Europe. And keep in mind, we're also prepping Europe for relationships in Greece, where we've already made several announcements with our partners over there. And this further, looks at Blink and says we are going to be in an international presence. We're now active in Europe, and Greece, and the four countries we just outlined in South America, in the Dominican Republic and other countries and continents to come.
Gabe Daoud: Thanks, guys. That's all fine.
Michael Farkas: One other thing I'd like to also add to that. The value proposition, for someone having to pay for fuel. In Europe versus America, it's so much greater in favor of electric vehicles. And they're just more environmentally conscious today than the American market is. This really allows us to participate in really one of the most active eating markets in the world. You have countries within the EU, where you see double digit, EV sales today, even more than half the market of EV's. And we're now going to be able to enter those marketplaces directly, we believe impact utilizations tremendously, and people get an understanding what a worldwide portfolio of charging stations really can imagine [ph].
Gabe Daoud: Thanks, Michael. That's helpful. And thanks, Brandon. And so those 7000 or so ports of those all owned and operated by Blue Corner. Is there a split on that? And those are all levels, I assume, right?
Brendan Jones: Yes, these are all level two charts that has a very similar makeup to our unit. Some are privately owned where they were purchased. But the greater majority of them are public chargers that are accessible to the public and owned and operated by Blue Corner.
Gabe Daoud: Got you. Got you. Okay. Thanks, Brendan. And then a follow up for me. I know as part of the Blue LA acquisition you picked up some ride sharing cars which I guess now is kind of showed in the financial separate leaser I actually think about that like line item moving forward, it was looked like a pretty decent drag on gross margin and 1Q just like that, do you plan on keeping that over times? Just what happens with that segment over time?
Michael Farkas: Our plan really is to be able to provide the charging infrastructure in the streets globally. And opportunity arose nearly to buy the program, which gave us car sharing, EV sharing, as well as infrastructure. In the Los Angeles market, it’s our plan to operate the cars, run the program, but they're also opportunities globally where we bring in a local partner who may own and operate the cars through our systems. So we're looking at each market individually. Our focus is really on the EV charging market. But the opportunity really allowed us to be able to prototype the service, which would include EV charging, EVs on the road for ride sharing, and car sharing, advertising and also having some communication services as well. So the LA market was something that we could use to prove the service and product, and then to be able to roll it out globally. But our focus is not internally on owning the cars.
Gabe Daoud: Got it. Thanks, Michael. And then just finally on the -- you mentioned advertising, and you talked about potential media towers, is there any timeline that you could talk to where you'd be rolling out something like that? Is it at some point this year? Is that like a 2022 type of new product? Just any any thoughts around that?
Michael Farkas: We're hopeful to have something in the streets this year.
Gabe Daoud: Got it. Thanks, guys.
Michael Farkas: You’re welcome.
Operator: We will take our next question from Vikram Bagri with Needham & Company. Please go ahead, your line is open.
Vikram Bagri: Good evening, everyone. Just a couple of quick ones for me. I saw that there was a small decline in charging services revenue. And I was wondering if there is a way to quantify the impact of the pandemic on these, these, this revenue stream? If you want to take the utilization pre-pandemic and apply it to your larger and bigger asset base right now? Or how should we think about growth going forward? Is there a way you can quantify how pandemic is impact impacting this line item?
Michael Farkas: You know, I’ll add to that, this is Mike. Yes, the first quarter we saw obviously, it was declined quarter-over-quarter on the charging station because of the pandemic but we've continuously have seen an increase quarter-over-quarter since Q2, of an increase going from Q2 of 2020. Going forward on the charging station revenues, utilizations are continuing to increase. You know, we have a different mix of product now in our portfolio. So what's producing at a higher rate, we're starting to really start monetizing, I'm looking at data coming in every day. And every day the charging revenues continuously increase. So we're very optimistic that charging revenues are increasing. And we're starting to see through the pandemic and the increase in utilization.
Vikram Bagri: Thanks, Michael. The second question I had was, you mentioned that there were certain onetime items in your operating expenses. I heard new hires to new offices, Miami and Phoenix. How should we think about competency and then I was wondering if you can quantify the impact of acquisition related expenses? And if there were any one time year end incentives baked into the numbers in first quarter? How should we think about OpEx going forward?
Michael Farkas: Obviously we continue to have some, related to the Blue Corner, we'll have some acquisition related expenses. New hires are part of our sales is part of our strategy is strengthening the IT, strengthening sales, strengthening all the different core skill areas to support the growth, anticipated growth. So, obviously salaries are continuing. But, one-time expenses related to acquisitions, obviously, we had some acquisition related in Blue LA, and as well as the acquisitions from 2020. But obviously, the bigger one time we'll see that coming through more so in the second quarter with the closing of the Blue Corner.
Vikram Bagri: Thank you. And just the last one for me, could you talk about the M&A landscape in Europe, one of the markets for instance, Netherlands, you have the lowest EV to ESV [ph] ratios of about three. So it seems like it's a pretty fragmented market, there are abundant opportunities for you to both expand organically and do EV sales expand, you know, through M&A. Could you talk about how many of how many M&A opportunities you're seeing, are you? Are you looking to expand through M&A rapidly in other countries. Could you just talk about the M&A landscape in Europe?
Michael Farkas: Yes, we see some extremely exciting things out there, and you were correct. It's extremely fragmented. You have a lot of Mom and Pops that own a charging station in their in their locations. And we see the ability of us being able to consolidate markets, not only in the U.S., but globally. Remember, Blink is a consolidation about 10 companies today. We were built on acquisitions. I think we're better equipped than any of our competitors to out there and start buying up our competitors. We've done this before, we've integrated these companies, we have tremendous experience in doing so. There are a lot of opportunities in Europe, one of the biggest things that that made it so compelling for us is how fragmented the industry is, while there's a lot of infrastructure out there, but not nearly enough infrastructure that's going to be required in the future. So you may have a location with a unit or two, and then it may get a little bit more complicated expensive for some of these property owners or start deploying in those locations. That's where the Blink model is really going to be very helpful in Europe, which is not very prevalent. Also owning and operating these charging stations throughout the continent, and we believe it's going to be, we're going to have a lot of opportunities on the M&A front. We just started basically listed.
Vikram Bagri: Understood. Thank you very much. That's all I have.
Operator: We will take our next question from Noel [Indiscernible] your line is open, please go ahead.
Unidentified Analyst: Good afternoon. Just a couple of things. Going back to the Blue Corner acquisition, you're just talking about greater penetration and greater perception of value of ease in Europe. Can you keep it sort of a ballpark sense of what that means for sort of payback on incremental investment for units you in time would be deploying in Europe versus in the U.S. where, the penetration and the utilization is slower. Just kind of comparison of, what makes that more attractive, you quantify that at all?
Michael Farkas: Okay, there are a lot of factors. Number one, the cost of our equipment is much lower in Europe than in the U.S. the port cost is less than half. We're also looking at each and every one of those ports on an AC side, that are twice as fast as what we have in the U.S. So for half the cost of the hardware, we can make twice as much money in that same period of time. That in its own right, just, again, the value proposition is off the charts from us when we're looking at it, us versus Europe, again, and utilization is key. So if we're talking about on our hybrid model, at a 10%, straight line utilization, getting paid back on a per port basis, less than a year, you can see that in less than half the time. On installation costs, still aren't cheap, but it's still even cheaper when you're dealing with three phase installations versus what we do here in the U.S. So the installations are cheaper, the hardware is cheaper, and the hardware is actually faster. So when you add all that together, that the end, the amount of EVs that are on the road is much greater there than here. We believe that it will be a very, very significant boost to our business in very short order.
Unidentified Analyst: Great, thanks. And my second one is, with your new Chief Technology Officer coming on board, very much an industry veteran. Can you just give a sense of maybe what the sort of most important or most urgent initiatives might be sort of tactical things for the near term that would be on his plate, and also, if there's any sense of and I know, he probably hasn't had a lot of time to sink his teeth into it, but what some of the more strategic changes or needs might be going forward.
Michael Farkas: Okay, I'm just going to point out a couple and then Brendan will follow up. But one of the key things obviously, we're internationalizing the entire company. So internationalizing the network across the board, so you could have one mobile application that can operate all of our charging stations globally. And having multicurrency, multi language. That's something that we're launching in short order, and that's something that Harjinder is going to be focused on, getting through the process. Harjinder will touch every single corner of this company. He is as you know seasoned. I was fortunate enough to work with him for quite some time. While he was at ChargePoint, most people don't notice but our largest, our vendor, our main vendor of the time was ChargePoint and we interacted with Harjinder, quite often. And we're very excited on seeing the things that he's going to bring to the table. And Brendan can be a bit more specific.
Brendan Jones: Yes, so thanks, Michael. And I'll be brief as Michael hit the highlights there. But if you look at the changing needs of networks in today's world, versus what they were, say five years ago, more feature sets, more integration to the vehicles via 15118 standard, the plugin charge standards, more requests from both sides hosts on reservation systems, more integration. So with the utilities, on-demand response and other models, and generally just more feature sets in general. And that's just on the software side. And then on the product side, everything keeps reinventing its side. So we made a decision, we were happy on the path we are in. But what we really wanted at Blink is accelerated growth, to take advantage what was going on to do today, and then prepare for the future. And that's why we brought him on. So as Michael alluded to, if you think of all the product and technological underpinnings of a leading edge EV infrastructure company needs to do to keep up and surpass the competition. That is why we brought Harjinder on and that is his mission statement. And we've already laid that out. And I'm happy to report we're already beginning to work.
Unidentified Analyst: Terrific, thanks a lot.
Operator: It appears we have no further questions at this time. I will now turn the program back over to management for any additional or closing remarks.
Michael Farkas: Thank you, everyone for joining us. This is an exciting time for a company and we really focused on expanding our footprint, growing our customer base and establishing new partnerships. We look forward to speaking with you again next quarter.
Operator: This does conclude today's program. Thank you for your participation. You may disconnect.